Operator: Welcome to the Delivery Hero Q2 2025 Trading Update. Today's presentation will be followed by a Q&A session. [Operator Instructions]. I will now hand over to Christoph Bast, Head of Investor Relations at Delivery Hero to begin the presentation.
Christoph Bast: Hello, and welcome, everyone. Thank you very much for joining our Q2 2025 earnings call. Joining me on this call today are Niklas Oestberg, CEO; and Marie-Anne Popp, CFO at Delivery Hero. And together, they will present the key highlights of our Q2 2025 results and the performance of the first half of 2025. Following the presentation, we will be delighted to address any questions you might have. Now over to you, Niklas.
L. Niklas Oestberg: Thanks, Christoph, and hey, everyone, and thank you for tuning in. We are starting with updates on our global technology platform as it's our #1 strength and huge competitive advantage. It's a unified global tech platform across all verticals. What's unique is the deep localization of the customer experience allowing us to adapt to local customer preferences and to fully leverage our local leading heritage brands, much better and faster than our competitors. In Q2, our platform reached an important milestone. Glovo is now end-to-end integrated, and the migration is completed. This also means we have reached full integration across all our brands and markets, except for Korea, where the integration is on track, but not yet completed. The integration of Glovo provides an interesting case study that demonstrates the power of our platform comparing performance across different KPIs. Before and after the integration, we see that our platform unlocks significant operational improvements, ranging from customer experience, example here, 6.7% conversion rate improvement and 9.8% late -- less late orders. To deliver efficiencies, example here, 9.5% reduction in cost per order, a very key metric and service improvement with 10.7% less or more self-service. It also gives us more ad revenue as another example, which was then up 29% with this migration. We are also excited to provide a sneak peek into Woowa integration, which is currently still ongoing, as previously mentioned. One of our largest components is the global logistic stack, which is now live in the first regions in Korea. And we see that we can significantly increase the number of deliveries per hour -- per rider per hour. So that's an 18% increase in utilization rate, which is a huge implication on the cost side. We have done this while still delivering slightly faster, so 2.4% lower delivery times than before the integration. This points to significant delivery cost savings potential for the future. In addition, we are approaching another milestone, and we go to the next slide. And here, you can see that soon, half of our GMV will come from customers who are using multi verticals on our platform. When we double down on becoming a multi-vertical platform 6, 7 years ago, it was nothing but clear that this would become a huge success. Today, we can truly say that we have transformed from a food delivery company into a multi-vertical platform with stronger engagement and higher spend. The driver is a powerful frequency flywheel. It's each new use case, not only adds incremental usage, but also amplifies activity in existing verticals. Multi-vertical customers now spend 5.2x more than single vertical customers, a clear proof point of our platform's impact. We will keep scaling this opportunity by expanding vertical coverage and offering great selection affordability and experience across all verticals. This not only opens up a huge TAM, but it also makes us less vulnerable to competition in one or another vertical. Today, we believe we are less than 1% of the total TAM opportunity. Let me now hand over to Marie-Anne, who will guide us through the financial highlights.
Marie-Anne Popp: Thank you, Niklas, and a warm welcome from my side as well. So Q2 2025 was another strong quarter, marked by continuous improvement in our 3 main KPIs, both profitability and cash generation. GMV in Q2 increased by 11% year-over-year on a like-for- like basis and excluding hyperinflation FX effects, which represents a slight acceleration compared to the previous quarter. The driver to the acceleration came from our Asia segment. Revenue generated a plus of 27% year-on-year on a like-for-like basis, continuing the trend of the last quarters and growing faster than GMV. In addition to the top line, the bottom line also grew substantially. Adjusted EBITDA in the first half of the year increased by 71% to EUR 411 million, representing a margin expansion of 70 basis points compared to the prior year period. The FX headwind in H2 is expected to be materially larger than in H1, which we will outline in our outlook. Free cash flow before extraordinary items also improved significantly, almost reaching positive territory with minus EUR 8 million in the first half of the year. Here, I would like to point out that the Taiwan breakup fee of EUR 212 million is excluded. Free cash flow after extraordinary items even amounted to EUR 165 million. We will go into the exact reconciliation later. Our capital position remains strong with EUR 2.8 billion in cash at the end of H1. This already reflects the repurchase of nearly EUR 900 million in convertible bonds during the first half of the year. Let us now take a closer look at the individual building blocks of the Q2 performance. As just mentioned, GMV growth accelerated for the second consecutive quarter, reaching 11% in Q2. Figures shown in green reflect performance on a like-for-like basis in constant currency and excluding hyperinflation accounting. A key driver of this positive development is a significantly improved growth momentum in Asia. This growth is driven by a rising customer base, combined with a steadily improving customer experience. With an expanding selection of restaurants and shops and the rollout of our multi-vertical offering, we're creating more shopping opportunities for our users. In addition, continuous improvements to our delivery service and the ongoing enhancement of our subscription model are increasing the attractiveness of our platform, resulting in higher order frequency and larger basket sizes for the majority of our business. Revenue growth continues to build on the strong GMV momentum and has consistently exceeded 20% at the group level for several consecutive quarters. In Q2, revenue growth accelerated further reaching 27%. Moving on to adjusted EBITDA. As mentioned already earlier, we delivered strong progress in profitability in H1 with adjusted EBITDA increasing by 71% year-on-year to EUR 411 million, implying a margin expansion of 70 basis points. Besides the increase in gross profit, this was also achieved through operating leverage. Given enhanced marketing efficiency, reduced IT expenditures and lower personnel expenses we managed to further optimize our operating expenditure in H1 2025. Overall, adjusted EBITDA continues to follow the trajectory we set some time ago. Since the first half of 2021, our EBITDA margin has expanded by approximately 440 basis points, while we have consistently invested in growth initiatives, product development and technology as well as reinforcing our operations in highly competitive markets. I'm also pleased to share that we have reached breakeven at the EBIT level after accounting for share-based compensation and management adjustments. We narrowly missed positive free cash flow by just a few million euros, but it has improved significantly compared to the previous year and is expected to turn clearly positive in the second half of the year. Let's now turn to the business development on segment level. Let's now dive into the Europe segment where we see a continuation of the strong growth trajectory, again outperforming major European peers. GMV grew by 18% year-over-year on a like-for-like basis, adjusting for portfolio rationalization during 2024. Revenue in Europe grew even faster with growth rates of 35% on a like-for-like basis. This was a clear acceleration compared to the last quarter, mainly driven by the further expansion of own delivery logistics, AdTech and subscription programs. Another major achievement is that Glovo has now successfully transitioned its entire rider fleet in Spain to an employment-based model and implemented structural adaptations to the rider model in Italy. In the first half of 2025, we provisioned EUR 50 million rider-related topics in Spain and Italy, which led to an adjusted EBITDA of negative EUR 51 million. Let's now turn to our MENA segment. In the second quarter of 2025, the MENA segment showed another impressive performance, with GMV growth of 26% year-over-year, which was fueled by strong order growth the further rollout of Quick Commerce and an exceptional category position across all countries. Saudi Arabia posted another strong quarter with order growth once again at more than 20% year-over-year. This growth was driven by the further enhancement of the subscription program and an increase in vendor-funded deals. Overall, adjusted EBITDA increased by 22% year-over-year to EUR 256 million in the first half of 2025 despite selective growth investments in Saudi Arabia and FX headwinds from a weaker U.S. dollar. Now on to the Asia segment. The GMV development in Q2 2025 shows sequential improvement driven by better growth dynamics in both South Korea and APAC. GMV growth improved in constant currency and on a like-for-like basis, excluding the Thailand business and certain discontinued services in Korea. Revenues grew by 23% on a constant currency and like-for-like basis, showing a clear acceleration compared to Q1. This was mainly driven by the material expansion of our own delivery service in South Korea, where a broad range of game changes have been implemented that touch all areas of the business from customer experience to logistics quality, subscriptions and operations. To point out some of the measures taken. We massively rolled out our own delivery service, which led to a significant increase in the OD share. The rollout of own delivery, both hand-in-hand with overall strengthening of our logistics, which resulted in an improved operational performance. This can be seen an improvement in delivery time and delivering experience as well as lower delivery cost to order. We consistently enhanced our subscription program, which now accounts for a significant share of total order volume. Overall, subscribers show better customer behavior such as increased order frequency and customer retention. In April, we also introduced the Meal For One product, which increased Woowa's value proposition further. Not only has South Korea improved a lot, we can also see a remarkable improvement in the APAC region. This is a clear indicator that the new leadership structure is yielding positive results. In terms of profitability, the Asia segment exhibited an improvement of adjusted EBITDA to GMV margin of 40 basis points year-over-year to 1.7% in the first half of 2025 despite the cost for rolling out own delivery in Korea and FX headwinds. Now continuing with the Americas segment. Americas continues to perform strongly with GMV growth of 30% and revenue growth of 29%, both in constant currency and excluding hyperinflation accounting. This performance was driven by double-digit order growth in all leadership countries and an increased lender base. Also, profitability has improved significantly, resulting in an adjusted EBITDA in the first half of 2025 of EUR 46 million, up from negative EUR 13 million in the same period of last year. This corresponds to an adjusted EBITDA margin of 2.3% of GMV in H1. Now on to Integrated Verticals. The Integrated Verticals segment showed exceptional top line momentum with growth in GMV and revenues of 30% and 27%, respectively. This development is driven by customer experience enhancements in MENA and product optimizations in Americas. Profitability has again significantly improved with an adjusted EBITDA margin of only minus 1% in the first half, driven by expanding gross profit margins and better store utilization. We're fully on track to reach adjusted EBITDA breakeven before group costs and hyperinflation effects in 2025 on a full year basis. Let's now have a closer look at the gross profit margin development on group level. On a group level, the gross profit margin has again improved by 40 basis points year-over-year to 8.2%. MENA Americas are already at around 10%, while expanding fast into quick commerce and further rolling out on delivery in Turkey. While we saw a dip in the Asia gross profit margin in Q1, due to the introduction of the new industry-wide vendor commission rate in Korea, the margin has recovered again to 6.9%, following the significantly stronger profitability in own delivery. In Europe, DP margins in Q4 were affected by the legal provisions in Italy and in the first half of 2025, the transition to an employment-based model in Spain weighed on the DP margin. Let's now have a look at our results for the first half of 2025. GMV growth for the first half of 2025 amounted to 11% on a like-for- like basis. Total segment revenue once again exceeded expectations, rising by 25% and outperforming our initial full year guidance of 17% to 19% growth. This strong performance was primarily driven by the accelerated rollout of our own delivery operations in Korea. At the same time, adjusted EBITDA exhibited a robust development with an increase of 71% to EUR 411 million. Also, free cash flow showed a solid development and almost reached breakeven with negative EUR 8 million, which is an uplift close to EUR 100 million. Let's have a look at the transition from adjusted EBITDA to net income. Starting on the left of the slide with the adjusted EBITDA of EUR 411 million. Management adjustments totaling EUR 43 million include expenses for reorganization and other restructuring measures in the amount of EUR 46 million as well as expenses for services related to corporate transactions and financing measures, which were partially offset by income from certain legal matters. In addition, we recorded EUR 126 million in share-based compensation, the majority of which is attributable to the long-term incentive plan. Depreciation and amortization amounted to EUR 157 million and lease payments, which in alignment with IFRS or below adjusted EBITDA were EUR 73 million. Taking all factors into account, our operating result or EBIT for H1 2025, turned positive for the first time, reaching EUR 5 million. Net interest paid amounted to EUR 111 million. Other financial and at equity results include net losses from the fair value measurement of financial instruments in the amount of EUR 110 million, and FX losses amounting to EUR 72 million. Income taxes include paid income taxes in the amount of EUR 129 million and a positive effect from deferred income taxes in the amount of EUR 55 million, mainly due to the recognition of deferred tax assets that became recoverable as profitability improved in certain entities. In total, this leaves us at a negative net result of EUR 356 million, which has been cut in half compared to the same period in the previous year. Let's now review how free cash flow has evolved over the past compared to last year. As already mentioned, net result has improved to negative EUR 356 million on the back of strong operational performance. Noncash items have increased to EUR 730 million, mostly due to currency translation effects and fair value effects on minority investments as well as amortization effects on financial liabilities, while income taxes paid remained stable. In the same period of the previous year, we saw an unusual positive change in working capital of EUR 95 million. This year, change in working capital has normalized to negative EUR 65 million, excluding the Taiwan breakup fee of EUR 212 million and the antitrust settlement of EUR 329 million. The position change in provisions was mainly impacted by the shift of EUR 329 million from provisions for legal risk to other current liabilities due to the antitrust settlement. CapEx was higher due to an increase in intangibles, while lease payments remain stable. When we now exclude extraordinary items such as sustained rider liability as well as the Taiwan breakup fee, we arrive at a free cash flow of negative EUR 8 million, an uplift of EUR 96 million compared to last year. At this point, I would like to once again refer you to our announcement from December 2024 when we increased the contingent liability for Spain. At the time, we highlighted that while pursuing the final court decisions, Glovo would be required to provisionally pay or provide bank guarantees for the outstanding contingent liability, which will become due progressively over the coming years. The first payment of bank guarantees were expected no earlier than Q2 2025. As you can see here, we made the first payment of EUR 40 million in Q2. In addition, we received final reclassification decisions from local authorities in Spain in July, resulting in payment demands totaling approximately EUR 450 million. We plan to settle these obligations in the second half of the year, which will allow us to continue pursuing our legal case through all levels of jurisdiction in parallel. And just to clarify, the EUR 450 million mentioned is, of course, part of the previously disclosed contingent liability and does not represent an additional obligation. Irrespective of this, we can be pleased with our robust liquidity position. We ended last year with a cash position of EUR 3.8 billion following the IPO of Talabat in November and then bought back convertible bonds with a nominal value of around EUR 900 million to optimize our leverage position in February 2025. As outlined on the previous slide, the significant increase in profitability resulted in an increase of free cash flow before extraordinary items to close to 0 in the first half of 2025. Most of the rest of the change in cash can be explained by the cash inflow of the Taiwan breakup fee in the amount of EUR 212 million and negative FX effects of EUR 134 million due to an appreciation of the euro and a weakening U.S. dollar as well as South Korean won. This leaves us with a healthy liquidity position of EUR 2.8 billion. Let's now turn to our guidance. Due to stronger-than-expected currency headwinds, particularly from the U.S. dollar and Korean won, both of which have significantly depreciated since our guidance was published in February, we will be adjusting our outlook for 2025. While we had previously projected GMV growth of 8% to 10%, we now expect to reach the upper end of that range on a like-for-like basis, which reflects the true operational performance. There are a few additional points on why we look at the business on a like-for-like basis. These like-for-like adjustments reflect the impact of business units or services that have been discontinued or divested, which accounts for approximately 2 percentage points. Following the faster-than-anticipated rollout of own delivery in South Korea, we're updating our guidance for revenue growth in constant currency excluding hyperinflation accounting from the previous range of 17% to 19% to 22% to 24% on a like-for-like basis. While this stronger-than-expected revenue performance will not immediately translate into EBITDA uplift in 2025 due to the associated cost of scaling on delivery, we do expect EBITDA to benefit over time as order frequency increases and delivery efficiency improves. However, in the short term, adjusted EBITDA, which is reported in actual currency has been impacted by the aforementioned FX developments. In the publication of our guidance in February, both U.S. dollar and Korean won have started to depreciate. While in our last trading update, we assume that we could mitigate the FX impact, currency developments have since deteriorated further relative to our initial planning. As a result, we now expect a more pronounced FX headwind in H2 than originally anticipated. At the same time, we have significantly accelerated the rollout of our own delivery model in Korea outperforming our initial plans early in the year. We've also stepped up efforts in our subscription service. We believe that investing in these structural initiatives in Korea delivers more long-term value than mitigating short-term FX headwinds. While we still expect to offset part of the estimated FX headwind of around EUR 110 million, we are revising our guidance to a range of EUR 900 million to EUR 940 million. This adjustment enables us to continue investing in customer experience, and in particular, the fast rollout of own delivery and subscription in Korea. At this point, I'd like to add that if today's FX environment were consistent with the conditions at the time we issued our guidance, we would be on track to deliver the adjusted EBITDA of EUR 1.01 billion to EUR 1.05 billion this year. The FX headwind is expected to have an impact on free cash flow, prompting us to revise our guidance to exceed EUR 120 million for 2025. This outlook excludes extraordinary cash inflows and outflows, including M&A breakup fees and ongoing larger legal disputes. That's it from my side. Thank you for listening, and we're now looking forward to taking your questions. Christoph?
Christoph Bast: Thank you very much, Marie-Anne. [Operator Instructions] Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Joseph Barnet-Lamb at UBS.
Joseph Barnet-Lamb: It's Joe from UBS here. I just wanted to clarify the FX headwinds driving the full year downgrade. There's no doubt that the won and dollar have moved materially against your year-to-date However, that move overwhelmingly happened prior to the 1Q results presented in April, at which point you stated you could "mitigate the current FX headwinds." And in the last month or so, FX has actually moved in your favor a little bit, I think, on the dollar side at least, and you've beaten on profits at 1H. So I guess the question is, given all of this, what has changed now in the last few days or weeks to cause you to warn on profits driven by FX now? Is there an additional profit benefit that you'd hoped in April, you could obtain which you no longer think you will or some further investment that you now think needs to be made?
L. Niklas Oestberg: Marie-Anne, do you want me or you to cover?
Marie-Anne Popp: Yes, I'll take it. I'll take it. Thanks, Joe. I think the difference between April and now is very much the visibility, right? I think April was a time when, yes, strong movements had happened, but it was, I think, rather unclear whether those FX movements would continue and whether the situation would stabilize, right? So I think at that point, the visibility was rather low, which is why we decided to call out the FX subject and last time we had a call. But it was very difficult at this stage to know for how long the situation would continue whether it was more of a permanent shift, right? I think at this stage, we are further into the year. We have more information. I think the FX volatility has continued. And then we have further visibility as to how this will play out towards the end of the year. I think that's basically informing why we update now.
Joseph Barnet-Lamb: Thanks, Marie-Anne. And if I ask a quick follow-up, if that's okay. That implies that in April, you weren't using the prevailing spot for the rest of the year. So can you just confirm what FX rate you're now assuming in your guidance? Are you using spot from now on?
Marie-Anne Popp: We're basically using -- I mean, we basically go through normal monthly planning process, why we update our view on FX rates for the rest of the year, right? So we're basically using the visibility we have at this stage, the same as we were doing it in April. And so that rate has obviously changed. I think, again, in April, the additional element was probably that I think it's a lot more volatile, right? Whereas now that volatility has become a little bit more normality, I would say.
Joseph Barnet-Lamb: Wonderful. But no incremental investment that you sort of weren't expecting in April that is driving anything else down.
Marie-Anne Popp: No, other than the investments we just called out, right?
Operator: Our next question comes from Andrew Ross at Barclays.
Andrew Geoffrey Ross: If I could just kind of follow up on that and talk a bit more specifically about your expectations for Korea this year. I think previously in local currency terms, you've spoken about getting back to GMV growth in Q4 and you've spoken about platform EBITDA being down slightly versus 2024. Does that assumption still hold? And it would be very helpful if you could give us an update in terms of what you expect from GMV and platform EBITDA in Korea in local currency this year?
L. Niklas Oestberg: Would you like to cover, Marie-Anne, or?
Marie-Anne Popp: Yes, you can start and then I'll chip in.
L. Niklas Oestberg: So yes, I think we had a very good quarter. Korea has not been easy. It's been very hard at 12 months, pretty painful. We had to change the business model from listing feed commission-based model. We had optimized our logistics to afford free delivery. We had to rebuild our tech stack. And also, we then decided to move very aggressively into own delivery, which has moved from 35-or-so- percent of the year ago to 70%. That was a move that we did sometime in Q2, and it dramatically improved the customer experience. There have been a lot of other changes. And I think we now finally start to see the effect, and we're also now in a position where we can start to push product features properly and drive customer experience. And I think that there are some good results there. I think we're again the clear product leader in Korea, and we are pretty excited about the outlook. So we are if -- yes, we feel very confident in what we have said before. I think, we have moved faster on moving to own delivery, and we still have slightly less margin on own delivery than we have in the marketplace. So we are making more money in the marketplace than we're doing own delivery on a per order basis. So we have some incremental investments there in the own delivery space. I think on the positive, our own delivery economics have dramatically improved and also now with the change to our delivery or logistics tech stack, we see even much better performance than we anticipated. Of course, that rollout is happening between now and end of Q1 or February -- end of February. So there will be incremental development improvement from there. But it also means net- net with a big push to own delivery, netting with better economics and own delivery still means that there is slightly more investment in this move to own delivery than previously announced. Maybe tie back a little bit to the previous comment also from [indiscernible] here is that we also consider [indiscernible] mitigate for any FX headwinds, we came to conclusion that now we have to still keep pushing on own delivery and subscription rollout. We think those are fundamental investments that are very good for the long term. So we took those decisions. So yes, I hope that helped a little bit on the Korea side.
Andrew Geoffrey Ross: That's helpful. If I could just follow up. Are you still expecting that you can get back to GMV growth year-on-year in the currency in Q4?
L. Niklas Oestberg: Yes, yes.
Andrew Geoffrey Ross: Okay. And we should conclude, therefore, that the EBITDA in local currency is down, I guess, more than slightly, but you're not going to quantify how much in Korea. Is that a fair assessment?
L. Niklas Oestberg: Yes, it will be slightly, but I think the baseline at which we will operate from will probably be better than we anticipated in terms of, yes, we have pushed own delivery more. We expected that shift to happen. Now, it happened earlier than probably expected. We moved faster than we expected, but the economics in own delivery is better than we anticipated, in particular, with the change in logistic tech stack. So net-net, I think we're entering next year in a better position for driving economics. But yes, the massive increase in own delivery percent is taking a little bit of hit this year.
Operator: Our next question comes from Marcus Diebel at JPMorgan.
Marcus Diebel: Could we talk about Saudi margins. Obviously, top line is still very strong, but it seems that the profitability took a hit. Just when I sort of like to try to back out the Talabat numbers and what you reported for MENA. Niklas, if you could just tell us a bit more sort of like what happened in terms of investments in Saudi and what the current situation is from your perspective given the competitive environment? Any more color would be helpful here.
L. Niklas Oestberg: Yes, I don't think that we have invested more than we expected, and I think the investments are still fairly small. We are speaking about yes, low double-digit amount of investments here. So I think it's not material. I think some of the back calculation is probably also coming from a big push of own delivery in Turkey. So that might be rather the explanation to the slight increased investment that you referred to or a little bit of combination of both maybe. In terms of the business, I think so far, we have seen limited impact especially among our mid- to high-value customers. We already, as you've seen, we're still growing about 20% on the order side. So there has actually been a slight acceleration in Q2 versus Q1. So that has not been impacted. We -- yes, I think we grew nicely as we remain very focused on building the best experience by far. And yes, we're pretty excited about Saudi Arabia.
Marcus Diebel: Okay. And just a follow-up then on Turkey. How long do you think the investments sort of like will continue? Because obviously, also there, the dynamics have changed now?
L. Niklas Oestberg: Yes. Maybe I need a help there from Marie-Anne on the EBITDA. I think the biggest part of the EBITDA or if you look at the increase in the net out and so on, it's rather on the dollar side. But I think in Turkey, it's economics are continued improvement in OD, similar to Korea. But there is a fairly fast rollout. We are now even a little bit ahead in Korea, but yes, we see pretty good development in Turkey as well. But there is a slight increase in cost as we have been rolling out own delivery. I don't have the exact numbers here.
Marie-Anne Popp: Yes, just I can add there. I think we are expecting actually positive adjusted EBITDA in Turkey in second half of the year. So that's again, it follows the evolution that Niklas Oestberg and we talked about previously of really incrementally improving that business and getting it back into positive territory. And I think overall for the MENA region, yes, you do see a bit of impact from U.S. dollar in particular, right? But I think Turkey has taken individually is on track to become positive again.
Operator: Our next question comes from Giles Thorne at Jefferies LLC.
Giles Thorne: Apologies. Still managed to forget to do that. So this was a question on Korea and merchant funding as a means of driving GMV growth and dealing with competition. It's a strategy that appears well developed in other parts of the footprint, most notably in Talabat. So Niklas, it'd be interesting to hear you talking about how underdeveloped merchant funding is in Korea and what your plans are here over the next 12 months or so?
L. Niklas Oestberg: Yes. It's a very good question. And I -- we like to keep it a little bit first off. You might speak more about it at a later point. I do think that there is a clear room for improvement. I don't exactly want to share exactly how we're improving it, but we are still far away from best practice.
Operator: Our next question comes from Monique Pollard at Citi.
Monique Pollard: The question was just on the delivery expenses. They ramped a bit in the first half of the year. And I'm just trying to understand how we should think about the ramp in terms of how much is driven by own delivery rollout. We see the aggressive and successful own delivery rollout in Korea, there's more in Turkey, et cetera, versus how much of that delivery expense increase is a shift to the employment model in Spain, just so we can think about the development going forward?
L. Niklas Oestberg: Yes. I think overall, as you see on the gross profit side, we have continued to improve gross profit. I think 40 basis points, if I don't remember incorrectly here. So we are gradually improving the gross profitability and most of our businesses on delivery with a few exceptions. But the increase in absolute cost is driven by Turkey and Korea. So that's the largest driver. But overall, we keep improving the cost or the gross profit per order in overall as a business as well as for delivery even more so.
Marie-Anne Popp: Maybe just adding to that, I think the main driver of that is indeed Korea and the shift to Korea. So I think what you are observing is probably mostly that, right? Where the cost comes in and then obviously, the fees also grow, but are affected by fee deliveries reductions as we sometimes use those as tools to push usage, right? So -- but the main driver will be Korea.
L. Niklas Oestberg: Yes. You do correctly pointed out a slight reduction also in Europe, as we also highlighted in the introductory remarks. And that is then also driven by certain provisions and as well as the move to employment model. And as you do this move, I don't know if you take Spain as an example, we had to move from more or less no employees to 30,000 or so riders that we had, and everyone had to be offered an employment model. So, of course, and some of them may never have started to work, but we still had to have them on our payroll, until they have not showed up enough times, and we still have to pay social security even if they never did that job. So that's a little bit odd, but that also means that there are quite some traditional -- transitional costs associated with this move. It is also hard to move from a complete freelance modeling -- employment model and make that super-efficient on day one. So there is still a lot of work to be done there. I think we have done huge progress, and I think it looks very good, but there is a transition cost associated also with this move to employment.
Operator: Our next question comes from Annick Maas at Bernstein.
Annick Tonie Maas: Can you hear me?
L. Niklas Oestberg: Yes.
Annick Tonie Maas: Okay. Great. So my question is on Foodpanda. You've mentioned that you reentered growth trajectory. Can you maybe give us a bit more color around where the growth is coming? Is this country-led, volume-led, price-led comp based? If you could just give us a bit more indication of what you've seen and what you're expecting for the rest of the year?
L. Niklas Oestberg: It's pretty broad-based. I think more or less in growth in every country now, or maybe there's some exception, but overall on a good growth direction across the region, and there's a big uplift across the board. So as you know, we did some big changes, leadership changes. Of course, it was also a business that was a little bit put on the back burner while we were in M&A discussion. I think that was a big mistake. And we did a very poor job during this transition. I think the focus we have had over the last year, you really see how that is paying off, and we have a fantastic leadership there, which you can also see. So lower cost, more growth and it's broad-based.
Operator: Our next question comes from Wofgang Specht at Berenberg.
Wolfgang Specht: Yes. One additional question on the installment payments you indicated in your presentation. We understand that a large part of that should go to the antitrust case. I guess the figure was around EUR 330 million. So if you're indicating some outflow of EUR 450 million other remaining EUR 120 million purely installment payments for the legal actions in Spain? Or is there something else?
Marie-Anne Popp: It was a bit hard to hear, but I'll try to answer what I understood. So the question was around upcoming outflows for certain legal cases, correct. So yes, you've seen the EU settlement, right? And that amount is agreed, but not paid yet, but will be paid in the course of this quarter. So you will have that as an outflow. And then on Spain, we highlighted the EUR 450 million of payment notices we received and those will also be paid in the coming months, right? So that's another outflow you're going to see. I don't know if that covers the question. I didn't quite hear you at the beginning of it.
Wolfgang Specht: That's the Spain payments would be reversed in case you made -- you strike a better deal with authorities?
Marie-Anne Popp: Yes. I mean the cost of action here is that the case proceeds through the legal route, and we will pursue it in the legal -- in the courts, right? So depending on that outcome, obviously, there could be a reversal of that once that reaches its conclusion, which will take a while.
Operator: Our next question comes from Jurgen Kolb at Kepler Cheuvreux.
Jurgen Kolb: Just indeed, one on a more longer-term view, it looks like the OD share is growing stronger than you may have initially expected. We're now talking about the rider employment model in some more markets. The 5% to 8% EBITDA margin, is that still reachable and still absolutely in line with what you're currently seeing? Or would you think that you need to do some adjustments there?
L. Niklas Oestberg: Thank you. So generally, how we see it is that there is a certain gross profit rate that we are aiming for -- that we aim for in order to reach a certain target EBITDA margin that we find reasonable and acceptable, both for shareholders and everyone involved, and we do not want to take it higher because that also, yes, we want to keep it at a certain level. So that is the target. Then how we get to the target? Ideally, you get to the target by charging the consumers less delivery fees and that you can still deliver very fast in a speedy fashion, that's one. The -- but there's always a fallback there. If we see that we cannot get to that level, then we have to stack more. That means delivery times would be a little bit longer, but of course, the economics will be much better, or we have to narrow delivery distances and kind of try to drive orders in a much shorter delivery distance to reduce delivery cost, or we have to charge more for subscription or we have to charge a delivery fee or a service fee or -- so that's kind of the last resort, but as always, I don't know what you will do to get to your target. But ideally, we want to get to the target by not charging more to consumers and by keep delivering very fast and keep as much option as we can and so on and then work really hard and innovate and use other means, including robotics and other things that we will keep doubling down on. And -- but again, the fallback is that we will have to charge consumer. And of course, the more we charge consumer, there is also then a slight impact on growth. But from where we stand now, we think that consumer fees will go down, service will go up and we will still reach that target. We think there's still a lot of room to improve, both in ad tech or in our logistic efficiencies, et cetera, et cetera. So -- but the target -- it's just where we want them to, and that's where we're going to go to. Then you ask the question how you get there.
Operator: Our next question comes from Luke Holbrook at Morgan Stanley.
Luke Holbrook: My question is actually just on recent speculation around your Talabat stake and particularly the willingness for a potential sell-down. Can you just indicate if you're keeping options open currently or whether that type of option is not on the table?
L. Niklas Oestberg: We have no interest in selling any single share of Talabat at current valuations. That's our current stance.
Operator: Our next question comes from Joseph Barnet-Lamb at UBS.
Joseph Barnet-Lamb: Yes, obviously, since the last time you spoke to us, it's been announced that your largest shareholder will be selling down their stake in Delivery Hero very meaningfully. I'm just interested if you're able to comment on the degree to which you could be interested in either fully or partially sort of buying back stock, if that's something that you consider or any comment you can give around that?
L. Niklas Oestberg: Yes. We can't give any comment on that. But good try, Joe.
Joseph Barnet-Lamb: Always worth a try, my friend.
Operator: This concludes the Q&A session. I will now hand back to Niklas Oestberg for closing remarks.
L. Niklas Oestberg: Thank you very much, and thank you, everyone, for your support. Yes, I hope and believe your patience will eventually pay off. I know it's tough times for shareholders. But I hope the patients will pay off. I think the business is doing very well. I hope you see it the same way. And then to all Heroes, yes, keep filing every day to improve the service to our customers, vendors, riders and pickers, and yes, work hard every day. Thank you very much, everyone.
Operator: This concludes today's call. Thank you, everyone, for joining. You may now disconnect.